Operator: Good morning and welcome to the Wizz Air Q3 Full Year 2024 Results [Technical Difficulty]. After the presentation, there will be a Q&A session with questions from the room first followed by those online. Now, I hand over.
József Váradi: Good morning, everyone. Thank you for coming. Next slide. So we are reporting Q3 fiscal '24. So this is the period ended on the 31st of December. As you know, the whole financial year fiscal '24 is a tricky one with regard to all the professions to the business arising from geopolitical angles or supply chain angles. And the way whole accounting flows you may come across with some distortion. And I will try to make some commentaries not only on the quarter, but also on what you should be expecting for the whole financial year performance. Because I think you really have to take a financial year perspective as opposed to just a quarterly perspective, given how the accounting works. So first of all, we continue to grow our business. Capacity grew substantially in the period. Again, just putting things in perspective, Wizz Air today is 50% larger than pre-COVID, making us unique versus the industry. So clearly, we took strategic benefits coming out of the COVID times. Load factors are somewhat below to our loans, but that's largely the impact of the events we had to react to during the period, and this is the war in Israel and around. With regard to RASK, same issue. So when you look at it from a quarterly perspective, the events around us made a considerable impact on our performance. But I would say that most importantly, we are in a cost business, not in the revenue business. Of course, revenue is important, but we are fundamentally driven by cost. ULCC as we call ourselves, is operated in a commodity market, short-haul flying is increasingly a commodity. And we believe strategically lowest cost means, lowest cost prevails in order to be successful with that model. So cost is in focus of the company. We started seeing some decline of ex-fuel cost. And of course, we benefited from the lower fuel cost in the marketplace. Now if you start looking at the underpinning factors affecting your cost performance, you see that the quality of operations has improved tremendously versus where we were a year ago or before. I mean, we are running a different time line. We are one of the best in Europe in terms of flight schedule completion, but also on-time performance has been picking up considerably. Probably the most important underpinning factors is fleet utilization. I mean, this is the way you spread high fixed cost in the system and you drive economic efficiencies. This is now back to basically pre-COVID levels. And I would like you to kind of sink over the financial year. Here so, we are expecting 12.5 hours of fleet utilization to come through when you exclude the entry-related grounding. So all others are included. So maintenance aircraft, spare aircraft, you name them, other than the engine-related groundings, we are bang on target, were been our force, what we communicated and this is in line with pre-COVID performance. And we believe that this is one of the most significant underpinning performance factors to cost performance. As we speak, we have a number of aircraft on the ground due to engine inspections. At the end of the period, we are reporting certain aircraft around the ground. Today, we have 35 aircraft on the ground. Nevertheless, I think we continue to be recognized globally for our economic efficiency and corresponding environmental and sustainability efficiency. We got named again by CAPA to be the most sustainable airline on the planet for the second time. And I think we are also were recognized for our safety efforts and safety records being named within the group of the Top-5 safest global low-cost airlines by the Airline Ratings. Cash balance, of course, keeps improving with profitability. As you know, we have just repaid the first €500 million bond and Fitch reaffirmed our investment-grade credit. So next slide, please. Certainly, what we can say is that Wizz is a lot more resilient business than ever before. If you just look at what has happened to the business over the last 3 to 4 years, COVID first. A word here, a word there, and in between supply chain exposure, but we continue to drive the business forward. Of course, we have to process all these external impacts and external shocks in the system but we believe that we are a lot more capable today than what we were a few years ago. I think you have been very informed with regard to our exposure to geopolitical events, the war in Ukraine and Israel, Middle East situation. We had to make capacity adjustments and we had to act to the changing circumstances. The GTF issues continue to pose significant exposure. On the one hand, we process those issues operationally and on the other hand, as through our financial settlement with [indiscernible] the other financial exposure. I think we have a fair deal in place, we made comments on that before. And now the settlement is operational and again, we remain very focused on delivering free utilization through the portion of the fleet that remains operational net of entering roundings. Next slide, please. So you see the map of the business, our geographical footprint. We are reporting significant growth, both capacity and passengers as well as fleet, I think that is important, that the fleet continues to grow despite over the supply chain exposure. As a matter of fact, fleet growth, new aircraft deliveries are one of the mitigants we are taking to offset the grounding effects on the business. And we just stay focused on protecting capacity given the circumstances by extending our fleet program. And you will see the number of actions we are taking there in a moment. So next slide, please. And this is just to give you an update on the GTF situation. I don't think anything fundamentally has changed. This is largely reconfirming what we have assumed that what we have said. So again, 13 aircraft on the ground in the 31st of December, 35 as we speak today. We expect 40 aircraft on the ground by the end of March. And as you know, we have taken a number of mitigating actions to protect capacity. With that regard, we continue to take you back for derivatives, that's around 30 aircraft in the financial year coming. We have extended 13 aircraft leases. Otherwise, we would have returned those aircraft to the lessors now we maintain those aircraft in operation. And we also took 3 aircraft on the rallies to make sure that we put in contingency for capacity. Also, we are looking at ways of enhancing utilization and sector accounts to an extent possible to, again, to protect the capacity of the airline. With regard to the assumptions around what it takes to recover the engine, get the engine inducted and pushes slowly to stop process. Our assumptions remain pretty much the same as guided before. This is a long process, a long painful process. So this is an issue on hand for the next 12 to 18 months as we expected. Next slide, please. Ian, over to you.
Ian Malin: Thank you, József. So in terms of the financial performance for the quarter, revenue was up 17% to almost €1.1 billion. Fuel costs were only up 3% due to better control fuel efficiency at more favorable pricing environment and the benefit of the hedging program that we've reinstated at the beginning of this fiscal year. Costs ex-fuel increased to €739 million, but reduced on a unit cost basis, which we'll discuss in a later slide. What's important is that EBITDA was positive in Q3. This is the first time that we've generated a Q3 positive EBITDA since F '20. And that is yet one more milestone that we cross off towards returning the business towards pre-pandemic metrics. In terms of operating profit or EBIT, we had an operating loss of €180 million, and we reported a net loss for the period of €105 million. Cash was up 10.6% versus the F '23 year-end balance and versus the December 31, 2022 balance, up 24%. Next slide. On an ASK basis we grew 27% in the period, which was a deliberate investment into the business to ensure that this capacity is time to mature in front of our summer peak periods. During the quarter, that additional capacity and the impact of the latest Israel-Hamas war put pressure on our quarterly unit revenue growth year-on-year, affecting both ticket and ancillary unit revenue. Of the 8% decline in RASK and unit revenues, we estimate roughly 1/3 of it to be driven by the geopolitical capacity changes impacting flights to Israel, Jordan and Egypt. We also had an impact through a shorter booking curve because of the capacity that was redeployed, trying to capture the holiday season as well as directionality of travel based upon the timing of the holiday season. In balance, we added 30% capacity almost whereby others were constraining. Load factors maintained basically flat, slightly up for the period. Next slide, please. In terms of CASK, as you can see, overall CASK down 9% and ex-fuel CASK down 1.1%. Fuel costs helped that predominantly. But the ex-fuel CASK number is the number that we focus on and that we can control, and that was driven predominantly by higher utilization and the continued execution of our ULCC principles. Entire fleet utilization was 11 hours and 35 minutes, but if you adjust for the 13 aircraft at the end of the quarter that we had grounded for engine related and other matters, that's increased to 12 hours and 15 minutes. And as József said, for the full year, we anticipate being at 12.5 hours, in line with one of our key operating KPIs. In terms of our cost lines, other than the depreciation category, and the other category, we were either flat or we reduced unit costs. Depreciation costs increased because of a greater share of brand new, more expensive new aircraft and our other line increased due to a combination of factors, such as disruption costs, which land into that line. So you would have seen disruption costs, computation costs associated with the Israel cancellations as well as when an engine is removed for unexpected reasons, that results in an immediate trigger of cancellation and costs associated with that. Next slide, please. In terms of cash, we're taking all measures possible to ensure that we meet the bond obligation at the 19th of January, and that payment was made. So we ended the quarter with €1.7 billion, just under in cash on hand. We saw no disproportionate or distortionary effects with cash evolution throughout the low season. We will experience some pressure on forward-looking cash due to the unflown revenue being slower, due to the capacity growth reduction that's happening going forward. But we put measures in place to ensure a strong cash balance, and we're very pleased with our liquidity levels where we are in the season and having paid off our obligation. Net debt increased as a result of additional aircraft coming online to €4.2 billion. We put in place a renewal of our EMTN bond program, although we have no plans to access that. Our investment grade rating with Fitch was maintained, and we plan on embarking with conversations with Moody's as when they're ready to have that conversation on reviewing our credit rating. Our leverage ratio was relatively stable at 5.2x, and we expect that with profitability continuing into the future that will reduce in line with expectations. Next slide, please.
József Váradi: Yes. Thank you. So let me start with reviewing operational performance of the year. So next slide please. I think the most important issue we are having here is around fleet utilization. So we are getting back to where we need to be. I mean, you remember, when we started talking about the financial year, we said that the at most important issue for the business is to reinstate its utilization model. Because, if you have a high utilization performance that spreads your cost, you benefit on the unit cost side, if you don't have it, that's going to be a significant penalty on your cost performance. And you see that we are really getting it back. And again, the comment I would make, when you look at it on a total financial year basis, we are back on -- bang on to [11.5 hours] on target when you exclude the parking between groundings. The other significant issue is around completion on time performance, we got beaten up 1 year ago, 2 years ago for poor performance. And indeed, I think at that time, we were simply just not ready for processing order shocks coming from the other system on geopolitics and supply chain. We made significant investments in organizational capacity into spare activities to make sure that we uphold our standards when it comes to completion on time performance. And as of today, Wizz Air is actually is one of the best-performing airlines in Europe. So we completely turned the situation around. Next slide, please. So with regard to the fleet program of the airline, this is unchanged. So really, the GTF issue is a temporary distress to the business. It is mitigated based on short-term measures, especially when it comes to extension of our existing leases. I mean, we are extending existing aircraft for a couple of years to bridge us in with that exposure and same for the dry lease aircraft and as we continue to take new aircraft deliveries, obviously, that creates further capacity to the business. But effectively no change. Maybe you have an interest in the XLR, we are still having confirmation from Airbus on the very first aircraft unit, would be delivered before the end of this calendar year. That may slip, given all the issues out there when it comes to aircraft manufacturing. I'm pretty sure you have updated yourself on some of the developing issues with that regard. But whether this is end of this year or next year, I think the XLR is going to be a reality within the next 12 months or so. Next slide, please. So sustainability. We remain focused on sustainability. You can see that technology is a significant driver that makes us more sustainable than any of the airlines in the industry. That got confirmed by CAPA with the recognition of Wizz being the Sustainable Airline of the Year on a global basis for the second time this year. At the same time, we have been also improving our ratings with other ESG-related rating agencies. So we think this is important. We think we are in a good position to address sustainability and we are doing our best to improve our standing. And it's not just carbon emission, but we are taking a number of other actions on the other sides of ESG. So next slide, please. Now this is probably an important slide for you, and I started this presentation with a note that is significant disruption to the numbers given how accounting works in the financial year. And the biggest element of distortion is really around the supply chain issues. I mean, you recall that we got affected by the Pratt & Whitney engines, essentially throughout the whole year, one way or another, either by we had to take more spares, like spare engines. There was a point in time when we have consumed all our spares and we started grounding. So significant cost penalties have been hitting the business throughout the year. And towards the end of the year, we entered into a compensation agreement with the manufacturer. So now we're going to start recouping some of those cost exposures. But you should not look at it like, well, I mean, business is now -- the business is not only relying on compensations. We have already paid the penalty through costs in the year. We are just taking it back in the form of compensation. So this is just an offset. So compensation is not making money for the company just offsetting costs what the business has been exposed to. So with that in mind, looking at capacity, so we are guiding on second half fiscal '24 capacity being up 20%, which implies that the last quarter capacity Q4, we are into, is going to be 15-plus percent, higher capacity. Load factor, we are expecting it to be 90-plus percent for the whole financial year. RASK, we expect full year financial year performance to be a mid-single-digit higher year-on-year. And ex-fuel, and this is what you are not yet seeing. We are expecting full year lower ex-fuel CASK mid- to high single digits. So if you look at the first 9 months, where you have visibility, you don't see these numbers. So very significant improvement needs to happen in the last quarter. And it is because that is how the money flows, how the accounting works through the compensation. So we will have an extraordinary low cost production, ex-fuel cost production in the quarter we are into. But to a large extent, this is an offset of the previous quarters where we had to take cost penalties. With that, net profit is maintained, net profit guidance, €350 million to €400 million. And we are also guiding you for the first half fiscal '25 capacity to be flat year-on-year. So again, this is confirming our plans that despite all the groundings and exposure to the supply chain issues, we are upholding capacity. So we are able to mitigate that exposure through expansion of the fleet and the improvement of sector productions and utilization to make sure that we are not giving up market capacity, and it will be around the same as what it was a year ago.
Ian Malin: And just to make one point because I saw this question come through earlier. With regards to the net profit number, we're assuming that the unrealized FX gains or losses are flat. So there's no assumption there in terms of FX rate that's propping up or supporting that number. So this is an adjusted through FX.
József Váradi : So I think, again, back to the previous statement, we are in a business of cost, we are in the business of CASK and especially we are in the business of ex-fuel CASK. And I would make a few comments on that. If you look at the fundamental drivers of ex-fuel CASK performance, the business resilience is one of them, and we made a huge investment into that to make sure that we are a more resilient business. We are better positioned to deal with any sort of disruptions to the business than before. Two, the utilization model is back into where it used to be. So [indiscernible] bang on ULCC, utilization levels. And three, we have been mitigating the supply chain issue and offset the cost exposure arising from that with the arrangements with Pratt & Whitney. And one last dimension I'd like to offer you is that if you take the for overall fiscal year view and you look at reserves, ex-fuel CASK performance and cost performance and how that relates not only to previous year but to pre-COVID performance level, we're going to be up mid-single digits. Our best competitor is going to be up high single digits. So actually, our cost advantage is improving relative to pre-COVID levels. You may figure it out when we model it. And this is a very clear conclusion. So really to wrap it up, in my mind, we are really back into first game. We are focused on cost production. We are back into the model what we had pre-COVID. Yes, we are going through a turbulent period due to geopolitics and supply chain. We have been able to mitigate the cost side of it. We have not been able to mitigate the revenue side of it. But I will be a lot less worried about revenue because revenue at the end of the day is a function of the market, and you can have short-term hiccups, but this is commodity and the market is driven by cost and performance of airlines are driven by cost as opposed to revenue. So revenue will be ramp up in any event. Of course, we try to do our best to do that. And I think now we're going to be seeing a lot more leverage going into the next financial year by having contained capacity. So that's going to enable us to better deal with the revenue exposure. But the fundamental focus of the business is on cost and as we are coming back. Thank you. Any questions?
Operator: [Operator Instructions]
Harry Gowers: It's Harry Gowers from JPMorgan. Two questions. First one could you maybe just try and give us a steer on the ex-fuel CASK for the full year 2025, obviously, including the compensation? So directionally, should we be thinking it's up or flat or down for the full year? And then your RASK guidance for this year, which is up mid-single-digit percentage year-over-year for the full year. For Q4, that would probably imply somewhere in the high single-digit percentage year-on-year, and that's on 15% capacity growth still. So sure you're thinking if capacity growth slows to 0 in Q1 and Q2 of the new financial year, your RASK performance could be a lot better than that high single-digit percentage year-over-year as we go into 2025.
Ian Malin: So on the CASK number, I would -- we're not guiding on CASK, but I would expect it to be flat or if thereabouts on the ex-fuel CASK for '25. Despite the pressures you'd see from lower capacity coming in, because of the structural improvements that we've made over the years of the operational resilience, maintaining those 12.5 hours a day utilization and the on-time performance and the completion factors.
József Váradi: I think with regard to the unit revenue or RASK, I think you're absolutely right. You got the numbers, right? So Q4 is expected to be high single digit, if not double digit. And we should be able to derive revenue benefits from the capacity constraints coming into play for the first half of the financial year, fiscal '25. We are not yet guiding. We just want to get settled on some of the issues, but that should be an inherent benefit coming through.
James Hollins: It's James Hollins from BNP Paribas. Three for me, please. I was wondering if you could like our friends in [indiscernible] yesterday, just provide us a nice clean financial impact of the Israel tragic situation there either for the quarter or for the half, they gave for the half. Secondly, slightly brushed over the fact that ancillaries were down 6% per passenger year-on-year, perhaps explain to immediate like me, why that would be impacted desperately by the Israel situation? Or maybe you can provide a bit more detail on what's going on there? And the third one, probably another idiotic question, but I'm not sure I understand why deferred sale and leasebacks would be a positive for the quarter. I thought sale leasebacks when they happened a positive for you. So maybe you can quantify or explain what's going on there, quantify deferred sale leasebacks contribution in Q4, I guess. And maybe I know I'm pushing it here, but quantify, at least in round numbers of Pratt & Whitney compensation in Q3, ideally Q4 and every quarter from now, but anything you like on that would be really helpful.
Ian Malin: All right. So on the first one, we don't have a clean financial impact in terms of the nominal number to hand, and I don't know how we would necessarily share that for the Israel, Egypt, Jordan impact. On the ancillaries, I think I've got two points. I don't know, József, if you want to add anything else. But on the ancillaries, we do see a high propensity of ancillary fees on particularly the longer sector routes to and from places like Israel, we maybe expect people to travel with more bags than they would through Europe. The other point on the ancillaries is that there was a distortion in the Q3 F '23 reporting period where the ancillary revenue had benefited from a one-off due to certain COVID-related credits that we burned off at that point, having expired them, and that makes the comparison period year-on-year distorted. So that explains part of the gap on the ancillary side of things. I don't know if you want to add anything else on ancillary.
József Váradi: I don't know, maybe Robert, you have more?
Robert Carey : I think the only -- as you said, the major point is that.
József Váradi: Are you going to need mic.
Robert Carey: The other point is on the [indiscernible] performance specifically, as mentioned. It was a market level of impact [indiscernible]
Ian Malin: And then on the deferred sale leasebacks, so there's a lot happening in the Q4 that would normally be spread out across the year. So we have now the impact of the compensation that József talked about. We have our normal sale leaseback activity on aircraft and just the way that the aircraft delivery profile work impacts Q4. But we also, as part of our ordinary course of business, pursue engine sale leasebacks. And as we know, for the first 3 quarters of the year, there was the supply chain challenge, which meant that engines that we otherwise would have been able to benefit from our operation were deferred. Those engines are now starting to come in as part of regular engine deliveries as well as associated engines with our compensation agreement, and now we're bringing them to market as part of our usual sale leaseback. Now I know you're going to have a follow-on question to say that our sale leaseback gains core to the business. And we certainly believe that they are, and we argue that our money is made in the buying of assets. And the way that we translate that low purchase price into our P&L is by way of the sale-leaseback transactions. And it just so happens that along with many other things that didn't happen perfectly matched to the costs per quarter this year. This is why we're asking people to look at the full year view and lump it all in to understand the effect of what's going to happen year-on-year, full year comparison to prior years and to pre-COVID.
József Váradi: Maybe the best way to think about this. I think this year, the current financial year is kind of tricky because you essentially observed the cost throughout the entire year, but you already see the benefit and offsetting benefit coming through in the last quarter. So last quarter, it's going to be usually distorted. But you should not take it like the company is now making money on [indiscernible] because that's not true because we have already suffered the cost before, and we just get paid in that point. But going into the next financial year, I think it's going to be a lot more balanced. So we have the burden, of course, and we will have the offset coming through the compensation pretty much in the same time quarter-by-quarter.
Jaime Rowbotham : It's Jaime Rowbotham from Deutsche Bank. Three from me, please. Firstly [indiscernible] talk about 250 to 300 days for the shop turn-times, and I thought Wizz would be heavily prioritized. So the 300 days you mentioned on Slide 5 is that a frustration? Secondly...
József Váradi: Oh, it is not.
Jaime Rowbotham: I'll give it to the others and then -- others can talk about. In terms of mitigating factors [indiscernible] I think you are going to try to negotiate with your lessors to mainly charge, the first on lease payments until you're back using the aircraft again. So I just wondered if there's any update on that? And then finally, the point about flat capacity for summer '24 and the scope to yield up. I mean, have you any early evidence of the ability to do that, the extent to which there is or isn't any elasticity of demand to price on those routes where you're now not going to grow.
József Váradi: Okay. So with regard to Pratt & Whitney, I mean everything is a source of frustration when it comes to Pratt & Whitney, everything, okay? So of course, shop is a time, you say, is one of the significant ones because 10 years ago, we were talking about 70 days in total. Now we are talking about 300 days in total. So if you can get it done over 250 days, I think we're going to be happy relative to the 300 days expectation. But there is nothing guaranteed at the moment. I mean, let's not forget that Pratt & Whitney's excuse is material supply. I mean, we have no visibility on material supply and certainly we have no control over material supply. I mean, we can make assessments on physical infrastructure like there are shops available, qualified personnel available, but we have no idea about material supply. So I think we added the mercy of Pratt & Whitney with that regard. Of course, we try to do our best, and we are pushing these guys to get some level of priority. And I think we managed to achieve certain things like guaranteed induction slots, which I think sets us somewhat aside from the rest of the crowd, but I don't think there is anything like an absolute guarantee. But with regard to -- I would just echo your last question, the summer '24 price elasticity. I mean, where we really have visibility is the current quarter we are in. And clearly, as we have to constrain capacity versus our plans, we are seeing the yield benefit of that. So that is evidenced. And as we just discussed, high single digit, maybe double-digit RASK will come out of this period. And still on the back of 15% growth or 20% growth year-on-year. Now given that in the first half of the next financial year, we are not running on capacity growth, so it's going to be fairly flat. I mean, intellectually, even you can derive that you definitely should have RASK benefit coming out of it. But we don't have yet the level of visibility to quantify the number.
Ian Malin: And then on the question on the mitigating factors on the sale leasebacks, but it's not the sale expect on the leases. For any lessors listening on the call, if they want to offer us rent holidays and deferrals, we'll certainly take them. But there's a level of complexity that comes along with that versus areas that we can control cost. We're trying to get this business back to firing on all cylinders like it was in the past. And so there's also a fine balance between asking for short-term concessions while at the same time being in the market for sale leasebacks going forward. And we think that the benefit for maintaining our low cost of financing, despite the high interest rate environment or maybe some of the other flexibilities that we're trying to put in place like euro-denominated leases or having the ability to float for a period of time and then fix to make -- to see where the interest rate environment, those factors, I think, drive a bit more value to the company than an immediate rent deferral, although we certainly won't take like I said and there may be situations where we are able to take advantage of that, but I wouldn't call it a systemic program that we're pursuing where it was something that was very common during COVID, for example.
József Váradi: But I would also like to caution that there is no such thing as a prelaunch. So when something is deferred, there is a price tag attached to it.
Unidentified Analyst: [indiscernible] the outlook for next financial year, should we expect that to be flattish across your network? Will you look to move capacity around? And then perhaps into full year '26, could you talk about some major outcomes in terms of capacity growth in the financial year?
József Váradi: Yes. So the guidance is for total capacity of the airline group. But of course, capacity growth or decline, we defer depending on the airline, depending on the market. So this is not like absolute stance to the year-on-year across the network. This is a flat capacity overall, but variations market by market. Although we try to kind of shorten the band to an extent possible to manage volatility arising from that. But that implies that we are creating some level of flexibility in the system to move aircraft and people around within the Wizz Air network. We try to minimize the disruptions coming with that. And we made a number of asking very strong commitments to the organization that we are not closing any base. So we uphold every one of our bases. I think this is to protect people's job. And also, it is to be in a position once we are out of this loop to be able to ramp capacity back up to the level needed at that time. And if you recall the fleet plan, I mean, we continue to take new aircraft deliveries. So we come to summer '25, so this is fiscal '26. I mean, we're going to be operating already like 18 more aircraft than in summer '24 or what we operate in summer '23. So we have to be in a position to be able to ramp the business up to that level. So we need the skeleton, the bones of the network and the base system intact to be able to put more meat on that when we come to the ramp up. One of the learnings you need over time is that it's so easy to wind down. It's a lot more difficult to ramp back up. So when you wind down your business, you have to keep the ramp up in your mind, that at one point, you're going to be facing a converse challenge, and we are trying to do that.
Unidentified Company Representative: F '26 range of outcomes.
József Váradi: Well, F '26, the one thing about, you know, for F '26 is how the fleet is going to look like. I think we have a pretty good view on that. We have already incumbent aircraft arrangements, leases, et cetera, in place, and we have the new aircraft delivery plan. So if you go back again to the fleet plan, I think that kind of gives you the number of aircraft in the fleet. What we don't know exactly is how quickly we're going to recover the engines and how that implies aircraft back into flying. So like the previous question, it matters whether this is 250 days or 300 days or only 200 days. So the very schedule of ramp-up is still subject to variations. But I've seen the overall fleet picture is very clear. So we're going to be a lot bigger airline in summer '25 than what we are operating today. So we are looking at like something in the neighborhood of 30% to 40% more capacity at that time.
Alex Irving : Alex Irving from Bernstein. I've got a follow-up on that exact answer. So if you think 30% to 40% possible in more useful metal year-on-year as those engines come back and when you get back into the fleet. Is that a situation that you want to be in? Or are you considering alternative options for example, some sales of those aircraft, they come back and to manage our capacity as a more normal level of both yourselves?
József Váradi: No. I think that's where I would want to be. I mean, the problem I'm having today is that the markets we are operating required a lot more capacity than what we are able to provide. So today's operation is already suboptimal versus demand. And we just need to make sure that we catch up on that, and we continue to drive our growth agenda going forward. So you recall when the last time we discussed this issue. So we're seeing that fiscal '25, essentially calendar year '24 is a challenge of cost pressure but with opportunity to increase revenue. So it's going to be high cost high revenue, if you want to put it that way. And the following year, fiscal year '26, essentially summer '25 will be the opposite. So it's going to be a very low cost because we're going to be dumping capacity, if you wish, to the market, so that will take our unit cost performance down. But that will also dilute the yield potential of the business. So you need to look at the margins. But we're seeing that we are currently undersupplying demand. And as a result, the ramp-up is going to be less of a challenge from market perspective. I think it's going to be more of a challenge from an internal organizational perspective because what I've been talking about here, we are talking about like another 4,000 people, pilots and cabin crew to be hired or trained and inducted and made them up and running for the business. So I think it's more of that challenge than the market trend. But it's going to be low cost, low revenue versus the year we are just heading towards, which is high cost high revenue.
Alex Irving : And then the second question I had, so the way you approach is you back up to [12.5] hours in the [indiscernible] which looks ahead of pre-pandemic lease of operating fleet. How does that interact with engine durability issues you're also experiencing and are you risking that increase in disruption cost [indiscernible] cost is unexpected and it is not winning -- why are your costs growing at that high level of productivity you're getting very expensive on the engine durability?
József Váradi: I don't know, guys, do you want to take this?
Unidentified Company Representative: No, I mean, very good question. I mean, as we all know, the partner metal issue is different than just the regular durability issues. And those continued with unscheduled engine removals part of the Pratt challenge is that more engines keep going into shop at a faster rate than they're coming out. I think as you look at the higher utilization, we've basically adjusted our operating tactics to stay stable within the 2-week window for sure, where the disruption costs are very punitive, as you know. And we're managing the lines of flying further out as we go. So fortunately, we've not been dealing too much with big waves of grounded engines simultaneously. But as they do come off, we're able with a little bit of breathing room that we've designed into the day-to-day operation. We can manage that on the short term with our operating spares. And then we continue to have to adjust capacity appropriately. Either we are getting engines back to replace or we do have to adjust lines of flying outside of the disruption window. So it's kind of a fine art right now. And I think, unfortunately, we're getting good at dealing with these problems. But they'll continue. I would expect them to continue through the year. There's no design change yet until the advantage engine likely comes out. So we're going to continue to see vibration issues in engine order issues and the cabin is kind of the same recurring things that we see going on in the ground is separate than powder metal. So and then on top of Pratt's ability to return, I mean, they've still got a lot of engines backed up in front of the shop. So it's too early to tell what their improvements will be. We do expect some to come through. But right now, the most important point is getting the ones in the shop back and then seeing the throughput from the other ones.
Alex Irving: For some of the capacity growth in FY '25, I think your initial talks last quarter was maybe broadly flat for the year, back-end is better. So actually, the sum would be slightly down imply. So maybe it's something -- maybe these extensions is sort of [indiscernible] performance on the context of the grounding. I'm assuming no rumbling from Airbus in the context of all these engine issues that were adding further problems or delays in terms of the supply chain of the delivery schedule. And then just a clarification on the ex-fuel cost for next year, I get it obviously flat growth. This makes the challenge offset by efficiencies and utilizations [indiscernible]
Unidentified Company Representative: So on the F '25 capacity guidance, so we had said previously full year flat for F '25. This is meant to clarify that we expect flat to be H1 and H2. Okay? So there's no low in 1 half, high in the other relationship. On the -- I think you answered the third question. But on the Airbus supply chain, I think -- I mean, it's consistent with what we've been expecting, what we've been telegraphing the contracted positions are presented in the slide, and there are the usual delays that are happening but nothing out of the ordinary driven by Pratt.
József Váradi: I think -- I mean, this is my opinion based on what I have been seeing and what I'm seeing at the moment is that Airbus is not in the position where Boeing is. I think Boeing is a lot more challenged at the moment than Airbus, like Pratt is more challenged than CFM on the engine side, I think on the airplane manufacturing side, Boeing is in an upward position.
Unidentified Analyst: [indiscernible] from Bloomberg Intelligence. So just a follow-up for me on the RASK guidance for this year. Now you've cited some maturity curve impact essentially in the third quarter. But presumably, some of that would still be playing through in the fourth quarter. I just wonder how you see that trending in the fourth quarter and also into next year. And also considering that if you're adding capacity back to Israel, might that serve as a headwind as well?
József Váradi: Yes. So I think RASK is very tricky because you have a number of kind of overlapping trends I mean, of course -- so a typical metric to curve is that you put up the capacity, lose money year one, you are kind of coming up to breakeven or close to breakeven a year 2, year 3, you're going to be making constant profit margin. So that's kind of the overall pattern. So if you apply that, so whatever capacity we put up as a result of the war in Ukraine now you start seeing significant maturity coming through. But at the same time, the capacity, what you put up against this situation is still totally premature. So that's a drag down. And if you -- and that was an interesting decision. And I think that's important also to know that one of the reasons why we ended up with more loss in the quarter we are reporting is exactly that, that we took a deliberate decision to invest the capacity prematurely during the quarter because we've seen that earlier you invest, the earlier we arrive the benefit of maturity. So by going into summer next year, actually, that will already be somewhat a mature capacity and do we benefit from that. Certainly going into next winter is going to be a lot more mature capacity. So that is this immaturity pain in the business. And if your business can afford to invest in the low period, yes, it's going to be dirty and ugly in terms of profitability. But if you kind of look at it through the whole metric to curve, you derive more benefits all in all. If you can't afford due to cash traps or whatever issues you may have or liquidity issues, then typically airlines invest during the summertime because cash-wise, they can get along with that investment a lot better. But before that we are in solid liquidity position. We should make the investment as early as possible to start seeing the benefits of those investments going forward. But it's very -- it's kind of all sorts of issues and impacts at the same time.
Andrew Lobbenberg : It's Andrew Lob from Barclays. Can I start perhaps with the compensation. And I know you're very much constrained on what you can tell us. But last quarter, when the issue first came up and we were quieting you, I thought there was a rough principle that you are counting the number of aircraft on the ground, sending an invoice to Pratt and getting the money back. And therefore, that the groundings would -- or the scale of the groundings would correlate with the amount of compo that came in. Is that the right sort of concept? Or is that the right sort of concept in general, but it doesn't apply in Q4 that comes up.
József Váradi: I would say it's the right concept in general, but it doesn't apply to Q4, because Q4 also takes care of the issues and costs we have already incurred during the whole financial year. But as of Q1 next financial year, I think that correlation basically will come into play.
Ian Malin: Yes. I think on a going-forward basis, you see that, that sort of run rate in line with groundings, but the package is multifaceted, and there's elements of the package that are coming in that are designed to cover some of the prior quarters as well.
Andrew Lobbenberg : Okay. And then can I ask on sale and leasebacks? I hear you explaining that sale and leasebacks are a core way of drawing value from your good orders. So to help us understand that or quantify it, are you able to offer any guidance or point to parts in previous year's financial report that would indicate how much gains you've taken from sale and leasebacks in historic years?
József Váradi: We can't. I mean, that would be part too sensitive. And I think we are also bound to confidential agreements here. But if you look at the 2 philosophies, so basically, we acquire the aircraft at a very low price and we cash in on that acquisition cost and we make a margin when we sell the aircraft and lease it back. And that goes against another model of value we essentially finance the aircraft yourself that you're going to end up with very low capital cost, but you account for throughout the year. So when you compare us to the other guys, we compete with, you see the benefits flowing through very differently. So we have this one-off gain. They have the continuous benefit as throughout the life cycle of the aircraft due to the very low capital cost. But in essence, the difference is not as big as we may think, it's just to count it differently and book differently in the system. But business-wise, at the end of the day, what really matters is what the acquisition cost of the aircraft is; and two, what the financing costs on the aircraft is. And I think we have been benefiting greatly from our credit rating from our creditors and airline and also from the asset, the A321neo being the most sought after asset in the world at the moment better than anything else. So I think that combination really gave us the access to very low cost of capital for financing. So that, combined with the acquisition cost of the aircraft, I mean, it largely should be seen as very similar to what the other guys are achieving, but running the model differently.
Andrew Lobbenberg: Okay. And just one last question. On the [indiscernible] joint ventures, hopefully things are [indiscernible] how are you thinking out expansion in [indiscernible] how are you thinking about the [indiscernible] community, despite is that [indiscernible] kick down the room, there could be aircraft shortages or [indiscernible] work has gone away anyway. What should we be thinking about the expansion plan?
József Váradi: Yes. So with regard to Abu Dhabi, I don’t think our medium, long-term ambition has changed that also we are looking at Wizz Air Abu Dhabi will be a 50 aircraft operation by the end of the decade. So next 5, 6 years, we would essentially quadruple the business versus the trial aircraft we have over there. Just to give you an idea and some encouragement, Wizz Air Abu Dhabi required a total capital investment of $50 million, and that’s a joint investment between Wizz and our investment local partner ADQ and the business is cash positive already. So I don’t know how many airlines can you find on the planet that gets to cash positive operation with $50 million invested against the idea. I mean, the airlines I know of, they have dragged totally different numbers on the equity side. So we feel very comfortable with the investment. Of course, the investment keeps maturing as we have seen in the very early phase. But I think we have not seen anything that would deliver us from the strategic plan to become a 50-aircraft operation by the end of the decade. With regard to Saudi, yet, Wizz Air remains an inbound carrier to Saudi. We continue to look at further opportunities. Those opportunities have not manifested yet. And if we have anything to report, we will, but that is nothing to report as we speak. But we continue to penetrate the market through inbound fly.
Operator: We've got some questions. So the first question is from Sathish Sivakumar from Citi.
Sathish Sivakumar : I've got two questions here. So firstly, on the restoring capacity back to Israel, right? Things are still very much uncertain over there. So what is driving this decision to put the capacity back? Is it the competitive pressure? Or do you see that as in a kind of high-yielding route mix that's -- is that the high-yielding is what driving that necessity to drive those capacity back? Because going into next year, obviously, you do are likely to see constraint on capacity growth. Isn't that -- considering that into the picture, is it better to not to go into that market right now? And the second one, in terms of engine cycle, I remember back at the Analyst Day, you did mention that the cutoff is around 2,500 cycle. Can you just clarify on that, like on the GTF and what is the engine cycle threshold? And the engines are -- the aircraft that are grounded 33, what is the average engine cycle there?
József Váradi: Okay. But with regard to capacity, I think the principles around that is true, are unchanged. We manage capacity on the base of expected profitability. So whenever we take capacity out or we add capacity to back in or new, this is all in consideration of expected financial performance. So we are making decisions on the basis of expected profitability when it comes to allocating capacity.
Unidentified Company Representative: On the engine cycles the threshold is 2,800 cycles and there's an interaction between cycle count and the service bulletin that was issued. We're still waiting for the airworthiness directive to come up, we're following the instructions of the service [Bolton], which when calculated based upon our utilization determines which engines are grounded when, and so that's what's driving the ramp-up profile from 33 engines as of January '24 to the 40 by the end of the quarter and then the progression into F '25 and then the tapering down. So we follow a calculation based upon which engines are meeting the criteria and then act accordingly in line with the safety practices.
Sathish Sivakumar: So just to clarify, the 40 is the final expectation on the grounding based on this 2,800. Or do you see further change?
Unidentified Company Representative: That’s right. And that’s for the end of this year. And then what we’re trying to do and this is why we’re guiding capacity for F ‘25 is focus people less on aircraft count because of the things like utilization, because of the things like additional capacity available on the market, and move towards ASK evolution for F ‘25.
Operator: The next question from Jarrod Castle UBS.
Jarrod Castle: Just coming to the fuel cost, in particular, the cost of carbon. There's been a benefit with the EU changing the base traffic from 2010 to 2023 in terms of allocation of free carbon credits. How has this impacted your views on fuel cost in the year or the financial year '25? Then secondly, just coming back to the March '26 ramp-up, I mean, you referred to 30% to 40% capacity to 280-odd aircraft. Putting back this growth, would this be at all costs, i.e., would you be willing to materially sacrifice your yield to play catch up on capacity? And what would happen if calendar '25 was actually a down year. How would you see that ramp up? And I guess related, I mean, you always referred to the cash balance. But I think what investors are more focused on is net debt, frankly, which continues to go up. So how would you manage that if indeed, '25 was a down year, just given where your net debt to EBITDA currently is?
József Váradi: Well, let me take the second one. So I think we are still in the business of creating shareholder value, and it is delivered through growth and profitability. So that's the basic model. And at any given point in time, that should be the guiding principle. And I mean, things can happen, and we may have to encounter hiccups here or there, but this is really how we are looking at the business. So assuming largely different somewhere '25 or fiscal '26, then what we are contemplating at this point in time. Of course, we would need to make adjustments if we feel that in a given context, we would blow ourselves out of the principles due to the very high growth. I mean, we -- I think, Airbus would love base to defer aircraft because they probably say in hindsight. I mean, let's not forget, we ordered this aircraft in Dubai a long time ago when Airbus was depressed and they needed an aircraft orders, and we benefited from that transaction. They could say this aircraft is at a lot higher price today. So anything we would defer or forgo, I mean, they would allow us to do that. So I think that creates kind of this inherent flexibility. But at the same time, you can also think of it differently if you have access to such a low-cost asset, why do have, would we give it up. And then we would rather look for ways of monetizing it maybe slightly differently versus the other baseband. I think we would take considerations all those issues. But I think we have an inherent flexibility to adjust should we have to.
Unidentified Company Representative: Okay. Jarrod, in terms of the carbon costs, so Wizz Air, the proportion of free credits that Wizz Air currently benefits from versus the credit that it has to buy to meet its ETS surrender obligations is lower than the rest of the competition. So as the free credits expire, the impact to Wizz will be less than to the other – to an airline that relies more heavily on the free credit. So the impact financially to us is going to be less as a result of that. So we’ve already factored that in. We discussed that. I believe there’s even a slide in the last quarter that talks about that. So we see that as less of an issue because we’re benefiting less than the free credits. With regards to the cash balance versus net debt and what happens if F ‘25 doesn’t play out the way it does, well, we fully expect F ‘25 and the progression in the direction that we’re heading to continue based upon the impact and the benefits that we’ve driven into the business and with the performance we’re seeing thus far. In terms of net debt I mean, it will increase because of the proportion of aircraft that we’re taking versus the earnings that we delivered in this quarter. So you would have expected net debt to increase as you point out in this quarter. But going forward, as profitability returns, the net debt will – an end of leverage ratio will come down and we expect it to if – to play forward your thesis, it doesn’t. That’s why we put in place sound risk management policies and balance sheet protection policies such as our EMTN program, which we’ve just renewed. And we have capital markets available to us with our investment-grade rating. And like I said earlier, it’s not something that we anticipate requiring, but it will be there in the unlikely event that your scenario comes forward.
Operator: And we've got a question from Alex Paterson at Peel Hunt. He's typed and so I'll read it out. Please could I check your net profit guidance is before any FX gains, as I think Ian said. Therefore, if there is an FX gain for the year, the net profit you deliver will be higher than €350 million to €400 million?
Ian Malin: That’s right.
Operator: Great. And that's the end of analyst questions remotely.
József Váradi: Well, ladies and gentlemen, thank you. Thank you for your attention. Thank you for coming. Have a good day.